Operator: Ladies and gentlemen, good morning. Welcome to the STMicroelectronics Fourth Quarter and Full Year 2016 Earning Results Conference Call and live webcast. I'm Celina, the Chorus Call operator. I would like to remind you that all participants will be in listen-only mode, and the conference is being recorded. After the presentation, there will be a Q&A session. The conference must not be recorded for publication or broadcast. At this time it's my pleasure to hand over to Mr. Tait Sorensen, Group Vice President-Investor Relations. Please go ahead, sir.
Tait Sorensen - STMicroelectronics NV: Thank you everyone for joining our fourth quarter and full year 2016 financial results conference call. Hosting the call today is Carlo Bozotti, ST's President and Chief Executive Officer. Joining Carlo on the call today are Jean-Marc Chery, Chief Operating Officer; Carlo Ferro, Chief Financial Officer; Georges Penalver, Chief Strategy Officer. This live webcast and presentation materials can be accessed through ST's website. A replay will be available shortly after the conclusion of this call. This call will include forward-looking statements that involve risk factors that could cause ST's results to differ materially from management's expectations and plan. We encourage you to review the Safe Harbor statement contained in the press release that was issued with the results this morning and also in ST's most recent regulatory filing for a full description of these risk factors. Also to ensure all participants have an opportunity to ask questions during the Q&A session, please limit yourself to one question and a brief follow-up. So today Carlo Bozotti will begin with a summary overview of 2016. And then Carlo Ferro will review our financial results in detail. Jean-Marc Chery will then discuss the strategy and key programs driving our technology R&D and manufacturing initiatives. From there Georges Penalver will bring together how our application strategy supports our growth ambition. Finally, Carlo Bozotti will summarize our priority for 2017. So now I'd like to turn the call over to Carlo Bozotti, ST's President and CEO. Carlo?
Carlo Bozotti - STMicroelectronics NV: Thank you, Tait, and welcome and good morning to everyone. One year ago we shared with you our focus for 2016. First, sales growth, leveraging our strategy centered around Smart Driving and the Internet of Things. And second, improvement of our operating profitability through the combination of revenue growth, gross margin expansion, and operating expense control. The start to the year was challenging, reflecting both a soft market and specific product transitions. However, in May 2016 at our Capital Markets Day we announced our objective to restart year-over-year revenue growth in the second half of 2016. We met our goal, with the third quarter making initial progress with year-over-year revenue growth of 1.3%, and then more significantly in the fourth quarter where revenues increased 3.5% sequentially and 11.5% year over year. The key word to describe our performance in the fourth quarter is synchronization. First, year-over-year growth was broad based, all product groups except discontinued businesses contributed. Second, looking at our fourth quarter sales performance by region of origin, we saw a synchronization in the growth for Asia Pacific, EMEA, and the Americas with all growing at similar double-digit rates. Finally, our sales performance was also well balanced both with key accounts and in the mass market. Point-of-sales performance at our distributors was particularly strong in the fourth quarter. This synchronization across products, regions, and customers is what we were strongly aiming for. Growth in the later part of 2016 did not come just from more favorable market dynamics. Execution on our application focus and on our product strategy were key to this revenue turnaround. In automotive revenues year-over-year increased about 12% for the fourth quarter and about 5% for 2016. The average ST content in a car has definitely increased. To give you one example, today in some of the latest and more advanced car models in the premium segment like the E-Class from Mercedes, there are over 800 components from ST. In our focus on safer driving we had a number of achievements for ADAS-related components. These include a next-generation ADAS processor in cooperation with Mobileye featuring level 5 autonomous driving capability and based on 7-nanometer technology from foundry. And there are several design wins with our new 77 GHz radar solutions. Using our technology to make driving greener, we had multiple design wins for our silicon carbide products for on-board and external charging systems as well as for traction applications. We also had many awards with our latest generation of smart power technology both in Japan and in Europe. ST is also bringing personalized entertainment and connected experience into the car in an easy to use manner while enabling secure communications between vehicles and the infrastructure. In audio and infotainment, our recently launched Accordo 5 multimedia processor is already achieving market traction in Europe, Japan, and China. This new product enables superior image, audio, and video processing for all classes of cars. We also signed a strategic agreement with a market leader for audio amplifier products targeting the high-end premium sound market. Finally, we landed important wins in vehicle-to-vehicle communication with multiple car makers in Europe, Japan, and America. Power Discrete results in 2016 were affected by the weak peripheral and PC market with full-year sales decreasing 1%. Recovery was however visible in the second half of the year, particularly in the fourth quarter with sales increasing about 14% year over year. On top of silicon carbide for automotive and non-automotive applications, among the many discrete products introduced, with which we had success during the year, I would like to highlight our protection devices for smartphones sold in very high volume. Moving to Microcontrollers. During 2016 we delivered year-on-year growth of 2.3% with consecutive sequential growth throughout the year after Q1. This growth was driven once again by our general-purpose STM32 family, where we recently shipped the 2 billionth product. This market traction is enabled by our long-term design-in activities, our introduction of innovative products, now totaling over 700 STM32 part numbers, as well as our ever broadening ecosystem. We introduced a new high-performance STM32 series, which delivers record performance and advanced secure services for the Internet of Things. We extended our ecosystem offering with new development tools, including the LoRa kit, a USB Power Delivery middleware stack, and many new boards. Here I would like to mention that we recently passed the milestone of 1 million STM32 development kit shipped to the market. This is a key indicator that we are on the right track to expand our customer base moving forward. We also made an important acquisition to strengthen our secure microcontroller solutions which embed Near Field Communication connectivity, while complementing our NFC/RFID EEPROM tag offering with RFID readers. Our complete portfolio of secure solutions helps our customers meet the increasing need for security in mobile and other IoT applications and include authentication solutions like our STSAFE secure element family which we introduced during the year. In our MEMS Sensor business revenue progression was significant in the fourth quarter of 2016, increasing over 30% compared to the year-ago period. Alongside our success with long time smartphone customers, both in the devices and accessories, we continue to diversify our customer base with strong sales of our 6-axis gyroscope to Android-based players, especially in China. Our sensor and actuator technologies for automotive and industrial applications were also successful, with growing sales and multiple wins with global automotive suppliers and a variety of industrial customers. In Analog the rebound started in the second half, driving 9.7% year-over-year growth in Q4. During 2016 we introduced new products for Bluetooth Low Energy and sub-GHz RF for Smart Things and Smart Home & City applications. In Smart Metering we ramped up volume shipments for a major European program with ENEL, confirming our position as a leader in this area. We announced a number of partnership that leverage our technology into innovative applications, such as the one with HMicro for a disposable wearable wireless biosensor platform; and with WiTricity for resonant wireless power transfer products. For Smart Industry we introduced an intelligent motion control device in our STSPIN family and a number of analog products for industrial applications. We are an important partner to support the transition to Industry 4.0. And we are actively engaged with a number of customers worldwide, especially in Europe and in Asia. In our Imaging business 2016 was a year of success for our proprietary Time-of-Flight technology. Our FlightSense technology for ranging and autofocus applications is now being integrated in over 70 smartphones. This is all about growth. Now let me turn the presentation to Carlo Ferro to discuss in detail our business and financial performance. Carlo?
Carlo Ferro - STMicroelectronics NV: Thank you, Carlo, and good morning to everyone. Indeed full year 2016 marks a year of important progress for ST, exiting the year with an 8.2% operating margin before impairment and restructuring on $1.86 billion of revenues in the fourth quarter. The synchronization of growth across all product families resulted into a return to revenues growth in the second half of 2016 as we have anticipated in May. And in the fourth quarter all the key financial metrics improved with revenues and gross margin better than the midpoint of the guidance that we gave you in October. In summary, in the fourth quarter revenues were up 3.5% sequentially and 11.5% year over year. Gross margin was 37.5% or 4 points higher than Q4 2015. Operating income before impairment restructuring was $153 million or $124 million higher than Q4 2015. 8.2% operating margin and accelerated asset turns translated into a 15% return on net asset, and free cash flow was positive $135 million. We are clearly turning ST's financial performance towards growth and shareholder value. Looking now at the full year 2016. Our financial performance has progressively improved across all of our key financial metrics. This progress confirm the soundness of our application focused strategy, the result of our product innovation, and the initial payback of our restructuring effort now substantially behind us. Looking at our key performance metrics in 2016, three points. First, we saw a return to year-over-year revenues growth. The start of the year was affected by a soft market as well as by all the transitions. However thanks to the strength of our portfolio, new product momentum, and sales channels, revenues for 2016 increased 1.1%. Even higher at a positive 2.4% when excluding our discontinued businesses. Second, through the combination of revenues growth, manufacturing efficiencies, and operating expense control, together we should say with a euro/dollar effective rate at $1.11 average for the year, we improved significantly our profitability with operating income before impairment and restructuring up 76% to $307 million and net income up 58% to $155 million (sic) [$165 million]. Third, we made progress in improving our operating margin before impairment and restructuring for the full year at 4.4%. And importantly we exited the year at 8.2%. We also saw a strong increase in the net cash from operation. Free cash flow before acquisitions was $390 million for the year. And in 2016 we invested $78 million in acquisition, small in size but very important for an IP complementarity point of view to strengthen our product portfolio in secure microcontrollers. Again, a key point in 2016 was the return to year-over-year revenues growth. As Carlo said, new specific products like those in Time-of-Flight technologies and product innovation with an expanded customer base across all of the product families are fueling in that rebound. We started to make progress in the quarter and more so in the third quarter and more so we did in Q4 with a 3.5% sequential growth better than seasonal and above the midpoint of our guidance. Distribution represented about 33% of our revenues in 2016. Here we saw a significant destocking as we progressed through the year. Point of sales at our distribute – or our distributor's sales were up double digit year over year. Point of sale in the year largely exceeded our sales to distributors. So we exited 2016 with a lean and a healthy inventory situation. Looking to the first quarter of 2017, revenues are expected to decrease sequentially about 2.4% at the midpoint, better than our normal seasonality of down about 5%. Our current visibility, our positive booking trend, and the strong point of sales at our distributors give us the confidence that the positive momentum of the semiconductor industry started in the second half of 2016 will continue entering 2017. Additionally, for the coming quarter we see opportunities for another quarter of sequential growth in automotive and microcontrollers. We also see Power Discrete, MEMS and Analog performing better than seasonal. This guidance translate into a year-over-year revenue growth of about 12.5% at the midpoint. In the second half of 2016 we saw a restart to growth with that synchronized across all the product group excluding the discontinued business. Our second half revenues grew 10.3% over the first half and 6.5% over the same period of the year earlier. In the second half of 2016 versus the second half of 2015, Imaging posted triple-digit growth and MEMS, benefiting from a strong recovery, posted double-digit growth. Automotive and Microcontroller revenues continued on their growth trajectory and only digital decreased due to discontinued set-top box business and legacy (20:04). In gross margin, we saw a significant improvement in our gross margin over the course of 2016, thanks to the combined positive effect of manufacturing efficiency, lower unused capacity charges, better product mix and favorable currency effect net of hedging. Increasing revenues translated among other advantages into better loading through the year. Nevertheless we incurred $33 million of unused capacity charges in fiscal year 2016 due to weak loading in the first 9 months. Fab loading has recently improved with fourth quarter unused capacity charges below $4 million. And based on the current visibility, we are expecting a substantially full loading in 2017. Looking to our first quarter guidance. Based upon our sales expectation, we anticipate a gross margin of about 37% at the midpoint, which would represent an improvement of about 350 basis points compared one year ago, consistent with the 4 points of year-over-year improvement delivered last quarter. Wafer cost reduction will be a key priority in 2017, leveraging our investment to scale up production in 12-inch, and on technology evolution, as Jean-Marc will mention shortly. We have been very focused on operating expenses discipline over the last years. In 2016 we average $538 million per quarter in net operating expenses. This level is well within our anticipated range of $500 million to $550 million per quarter throughout 2016. We have been also progressing with our set-top boxes savings plan. We exited the year ahead of our original expectation, achieving $110 million of annualized savings out of the total $170 million per year targeted upon completion. In 2017 we expect our quarterly net operating expenses, assuming current currency rate, to be in average about $550 million per quarter, including a lower level of grants. While we remark on the improvement of our financial performance, we have to realistically recognize that these are benefiting from the upturn of the industry cycle and a milder euro/dollar rate. Thus, we remain commitment with sense of urgency to further improve. On the other side, if you look at the analysis of the operating income, improving from $29 million to $153 million in the fourth quarter of 2016 versus the prior year's quarter, this shows both structural changes and consistent improvement across all the product groups. As we see in the chart, the currency effect was marginal. And there is a very significant and a roughly equal size contribution from manufacturing efficiencies, including better loading and a combination of volume and mix, net of price effect. And there is also the positive and initial contribution from the set-top box restructure. All of the product groups have positively contributed to this improvement. Automotive and Discrete Group, the operating margin in the fourth quarter was 7.3%, still room here to improve towards the over 10% margin mid-term target. Microcontrollers and Digital IC Group, operating margin in the fourth quarter improved to 9.7%, compared to the over 10% target level. Excluding digital, our microcontrollers and memories operating margin was double digit and consistent with our expectations for this business. In Digital, we have to complete the set-top box restructuring plan. Analog and MEMS operating margin in the fourth quarter significantly improved to 9.4%, within the range we anticipated of mid- to high-single digit. In Others, operating margin in the fourth quarter was 0.6%, so it's a slight profit. It includes Imaging delivering a profit and a negative balance from the combination of unused capacity charges, non-allocated R&D, and other non-allocated items. Growth in Imaging is the principal reason for the significant improvement, in line with our expectation to turn this area to a profit. Overall, we still have more work to do. Going forward we see opportunities for revenues growth to contribute to margin expansion, and we are working hard to pull through opportunities to further improve along four drivers. Operating leverage, revenues growth should translate into a reduced OpEx to sales ratio from our 32.3% level in 2016. Fab loading, in fiscal year 2016 our gross margin was negatively impacted by about 50 basis points of unused capacity charges. We expect these charges to substantially disappear starting in Q1. Manufacturing scale and technology evolution reducing fab cost, especially through two big programs, the expansion of our 12-inch capacity in the present shell, as well as the 6-inch to 8-inch conversion in Analog and Power. And growth fueled by innovation will boost a product mix improve. In fact, the new products are significantly accelerating. And we expect a revenue contribution in 2017 growing faster than the average. ST financial position is solid. And in 2016 we further improved our financial flexibility. In 2016 we generated a free cash flow of $390 million before M&A. And also in the year we paid a cash dividend to shareholders of $251 million. Capital expenditure in 2016 were $607 million, at the low end of our expectations from one year ago. 2016 saw an important introduction of new products including some of them relying on key proprietary technologies. The investments we are considering for 2017 are aligned to the substantial revenue opportunity we see this year, particularly in the second half and beyond and will result in a temporary increase in CapEx spending to $1 billion to $1.1 billion for 2017. We see 2017 in this respect a special period after several years missing growth and with the unique new product opportunities, which requires internal manufacturing due to technology specialization. We anticipate returning from 2018 onwards to our strategic capital spending model with CapEx at or below 10% of sales through the cycle. To describe our technology and manufacturing strategy and the related CapEx, I will now turn the stage to Jean-Marc. Before doing this, knowing that you are – understandable interest in our cash flow, I wanted to reassure you that despite the increase in spending and considering the visibility we have today, free cash flow in 2017 is expected to be higher than the dividend that we pay at the current level. I will now hand over to Jean-Marc Chery, our Chief Operating Officer.
Jean-Marc Chery - STMicroelectronics NV: Thank you, Carlo, and good morning to everyone. Building on what Carlo Ferro has shared, let me highlight the strategy and key programs driving our technology R&D and manufacturing investment. In technology R&D, ST's strategy to invest selectively in a core group of proprietary technology and differentiated one that present us with competitive advantage we can leverage for sustainable growth in our strategic areas of Smart Driving and Internet of Things. In manufacturing, our strategy relies on the smart combination of our internal wafer fab, focusing more on specialized and proprietary technology, providing a competitive advantage and the offering of the best-in-class foundries to mitigate our technology and capital effort, especially in digital technology at or below 10-nanometer. Following extensive work, our internal manufacturing footprint is improving. And in the course of 2017 we expect it to reach higher production at lower wafer costs. In particular, our Crolles 12-inch fab is now reaching a better balance and loading, which resulted in the significant reduction of unused capacity costs by the fourth quarter of last year. In Crolles 12-inch we are also moving to expand equipment capacity scale within the current and existing infrastructure, which will allow us to significantly reduce wafer costs. Our 2016 capital spending of $607 million came at the low end of the $600 million, $670 million budgeted range. Investments made support our strategic focus areas and specific key new product ramps. During 2016 we began to selectively add internal capacity in line with expected demand. More specifically, the main programs in 2016 included new technology in Crolles on 12-inch, a mix evolution towards advanced BCD and new MEMS actuators in Agrate, improving our cost structure for more mature technologies, with measures such as the expansion of our 8-inch capacity as part of the program of conversion from 6-inch and selected investment in probing, assembly, and testing in back-end manufacturing. Moving to 2017, our focus is on advancing and, in some instances, accelerating our capability, mainly in four key technologies. First, embedded non-volatile and phase-change memory and FD-SOI, which are strategic technologies for our microcontrollers. Second, advanced BCD technology, which is huge for Smart Power devices. Third, Imaging and Time-of-Flight sensors serving a variety of end markets. Fourth, silicon carbide, an emerging and disruptive technology gaining strategic importance MOSFET and diode both for the automotive and industrial market. Our embedded non-volatile memory technology is a key enabler for advanced microcontroller addressing a wide range of applications. We are expanding our capacity in 40-nanometer and are now in production in Crolles on 12-inch wafers for all the flavor of 32-bit microcontrollers. Embedded non-volatile memory is important in our 28-nanometer FD-SOI offering, allowing us to embed phase-change memory to deliver a competitive low-power, high-performance technology platform to address automotive and IoT applications. Another key technology for ST, a long-standing strength, is BCD, where we are a leader. Key applications areas include automotive and industrial. While we are now in production with our 110-nanometer called BCD9, we continue to work towards our 10th generation, including the integration of a system on a single piece of silicon. And as we have mentioned in the past, we have a clear BCD technology segmentation addressing high voltage BCD, SOI-BCD and advanced BCD. This technology allows us to integrate digital design, precise analog function, and power and high-voltage elements in a single system on chip. Going forward, we are progressing into the new generation of product, including integration of phase change memory in BCD. A new core technology, which we developed and patented is FlightSense, our Time-of-Flight technology, enabling true distance measurement and targeting a wide range of application. We have been vocal about this technology for quite some time. During 2016 the initial business for this technology was in smartphone. As Carlo Bozotti mentioned, we are seeing now a strong momentum globally. ST new Time-of-Flight sensor were present in 70 smartphones, including a new product in flagship phones, launched on the market during the second half of 2016. The expansion we are enjoying with Asian customers is particularly remarkable. We are now working on our next generation of Time-of-Flight technology, featuring longer distance ranging, as well as multi-target and multi-zone ranging capabilities. This will improve the performance in current application areas as well as expanding its use well beyond smartphones. Finally, I would like to highlight silicon carbide. ST has been investing in this technology organically for a number of years. As a result, today we are one of the few semiconductor companies able to provide it. In simple terms our silicon carbide technology is more efficient than the other technologies available on the market today. And we have seen a dramatic increase in the interest from current and potential customers. For example, in the electrification of the car silicon carbide can bring up to 20% more autonomy or significant reduction in the cost of the battery. During 2016 we received a number of design wins. And we are now working to bring this technology to market and accelerate the development of the ecosystem to support its adoption. In regard to the important design wins with our silicon carbide MOSFET, we are on track to ramp production in the second half of 2017. Let me now share our current view on how our strategy will translate into capital spending in 2017. For 2017 we are increasing our CapEx to about $1 billion to $1.1 billion. Much of this will be in the first half of 2017, as we prepare for a major product ramp. We have already started some of this investment during 2016. Specifically, the company is investing in 12-inch front-end manufacturing and in back-end assembly and test to support new products. In particular we anticipate a newly won program to ramp with substantial revenue in the second half of 2017. To summarize. In 2016 our technology and manufacturing strategy started to pay back and demonstrate visible results. These strategies are helping us move forward, accelerating growth and contributing to the improvement of our product mix and operating profitability. Our key proprietary technologies, which I described, are translating into leading competitive position, both in established areas like BCD and MCUs and promising areas such as Time-of-Flight and silicon carbide. In addition, our lean manufacturing footprint is now bringing opportunities to leverage growth and reduce wafer cost. With the progress we have made and the progress we expect to make, we are confident in our technology and manufacturing investment. I would like now to hand over to my colleague, Georges Penalver.
Georges Penalver - STMicroelectronics NV: Thank you, Jean-Marc, and good morning to everyone. Now I would like to describe the expected development for our focus areas in 2017 and beyond, presenting some examples of the specific applications we are targeting and where we already had important successes in 2016. Smart Driving. Our Smart Driving focus is about making driving safer, greener, and more connected. This fits well with the development of the automotive market, which is forecast to have healthy growth in all areas over the next 3 years. We can see that the highest areas of growth are firstly in safety, driven by the trend of ADAS proliferation, where ST offers products such as vision processing and radar, and secondly, in powertrain driven by car electrification. If we look into the area of car electrification and the longer-term forecast, we see that the various types of hybrid and electric vehicles are set to grow from 5% of total car production last year to 16% in 2023. This is a great opportunity for ST with our broad offering of Power and Smart Power products, automotive microcontrollers, EEPROM, and protection devices. The electrification of cars is accompanied by a significant increase in silicon content. As car makers add battery management, power conversion, inversion, and charging functionality, the silicon content of the average car is forecast to increase by over $500. This is also driven by the need for higher value silicon devices that can meet the higher power and voltage requirement for full electric traction cars. Our silicon carbide technology, as mentioned by Jean-Marc, brings significant benefit for car electrification compared to the solutions available today. This allows car makers to deliver vehicles with greater range and faster changing – charging capacities. This will lead to a rapidly growing market for silicon carbide devices. Moving to the first of three areas of focus in the Internet of Things, Smart Industry. For ST this is about the evolution of manufacturing and other industrial sectors through the application of smart technologies to achieve better efficiency, flexibility, and safety. This regroups a number of application areas, including medical, aerospace and defense, and factory automation, all of which are forecast to grow in the coming years. If we look at industrial automation, the largest market here, we can see that the number of industrial robots shipped is set to increase significantly in the next 3 years particularly in Asia. This provides opportunity for ST's broad portfolio of products for this application area, including actuation and motor control, power conversion, data communication, sensors, and input/output devices. Moving now to the second area in our IoT focus, the Smart Home and the Smart City. Here there are a number of vertical applications, such as home and building automation, security and surveillance, and metering, which require tailored semiconductor solutions. ST's portfolio and system solution approach is well adapted to offer solution involving multiple ST products that makes our customers' designs easier. Smart Metering. An example is Smart Meters, where ST had been developing solutions for over 20 years in partnership with key Smart Grid players. We are shipping now the new generation of Smart Meters that represents significant business for ST moving forward. Our third area of IoT focus is what we call Smart Things. Here on top of the established market, like smartphones and wearables, we see a huge opportunity for new types of smart-connected devices and a common need for the same core electronic building blocks, which ST offers. On top of these building blocks there is a need for fast and easy-to-use development tools that are well integrated with cloud ecosystems. Indeed, ST plays an important role as an enabler of connected device developers. In addition to the hardware solutions we provide middleware that enables key application functionality, such as local or cloud connectivity or sensor capabilities. We also provide development of ecosystems that allow fast and easy prototyping and support for developers to get their design rapidly into production. Worth repeating, we recently shipped our 1 millionth development board for the STM32, which includes our most complete ecosystem, the STM32 ODE, Open Development Environment. And finally, I would like to mention the smartphone market, which remain an important focus for ST. Here we have a number of product opportunities, including motion sensors, gyroscopes for optical image stabilization, Time-of-Flight ranging solutions, NFC and secure element solutions, environmental sensors, micro-actuators for autofocus, wireless charging, protection devices, display-related components, and also our general purpose microcontrollers. So to summarize, the markets addressed by our key application-focused areas are forecast to undergo a period of sustained growth. And we are well positioned to take advantage of the opportunities this offers. Carlo?
Carlo Bozotti - STMicroelectronics NV: Thank you, Georges. After a long presentation, I will be very synthetic in my final remarks. So building on the results of 2016 and on the opportunities that we are targeting, thanks to our technology, product, and application focus, I would like to highlight the priority for 2017. And it's basically one key priority for all of us. And the priority is delivering sustainable and profitable growth. And this means deliver year-over-year sales growth across all of our main product families – of course excluding discontinued businesses – and regions, both with our OEMs, but also with our distributors in the mass market. Continue to lead in innovation, supporting our customers through product leadership and optimized application-oriented solutions. Invest for growth, maximizing the innovation with our R&D spend and turning our manufacturing investment into timely ramp up of our major programs. Continue to be disciplined on operating expenses. And finally, as a result, continue to improve our operating profitability. My colleagues are now – would now be happy to take your questions. Thank you.
Tait Sorensen - STMicroelectronics NV: First question, please.
Operator: The first question is from Mr. Andrew Gardiner from Barclays. Please go ahead.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: Good morning. Thank you for taking the question. I just had a few around the heightened capital intensity that you're planning for 2017. You've got a number of sort of initiatives that seems to be coming together at the – literally at the same time. If I could pick up on something I think you mentioned, Jean-Marc, is this a sort of a one-year spike in capital spending? And should we see it sort of revert back to the type of intensity that we've seen in prior years? Or given the type of contracts you've got under way, are you anticipating a slightly heightened level of CapEx from here on out? And also in particular for sort of the comment that you made regarding the newly won program that's ramping in the back half of the year and that there is CapEx associated with that. Do you have sort of long-term commitments from the customer to support such a – sort of a big spike in spending for their own capacity? What kind of visibility do you have into that business continuing for years to come? Thanks very much.
Carlo Bozotti - STMicroelectronics NV: Okay. I think maybe Carlo takes on the CapEx first. And then Jean-Marc will comment on the commitment.
Carlo Ferro - STMicroelectronics NV: Yes, Carlo. Andrew, I see your point and really you're correct on both, understanding that 2017 CapEx at $1 billion to $1.1 billion is a temporary spike. I clearly said that the model and the strategic model of the company from 2018 onwards is to go back to our model with CapEx to sales ratio at or below 10%. Indeed this program itself is very tested, both for the fusion and for specialized assembling and testing. I saw this morning some of you mentioning about the $500 million effort for investment on these new programs. And I have to say that eventually this is a bit underestimated in respect to the overall effort this program requires, when combining what we have already spended starting this year – last year and this year's program. Of course, the other point is the return to us from these important specialized programs, on which Jean-Marc address the second part of your question.
Jean-Marc Chery - STMicroelectronics NV: Yeah. So we are investing both in wafer fab resource cost and assembly and test for this big program. And of course for the generation which will either provide new flavor but also improvement of the figure or the merit of this current generation. So yes, we will invest for 2017 and beyond of course.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: Thank you.
Carlo Bozotti - STMicroelectronics NV: Absolutely. And I also like to underline that for us, it's absolutely crucial to make sure that this is a long-lasting business. And the second point, I would like to underline that there are lot of positive implications too in other businesses. Because let's face it, it's not the first time we discuss it. We have a certain infrastructure. And even if today we have been able to significantly reduce the unloading charges, it is not yet optimized. So the existing infrastructure would require a little bit more in terms of equipment to significantly reduce wafer cost. And this is a unique opportunity, because I believe it's a great business. And on top there is the associated, let's say, opportunity to significantly reduce fab cost that, of course, would positively impact this business because of other businesses in ST
Tait Sorensen - STMicroelectronics NV: Thank you, Andrew. We'll take the next question, please.
Operator: The next question comes from Mr. David Mulholland from UBS. Please go ahead.
David T. Mulholland - UBS Ltd.: Hi. Thanks for taking the questions. One if I may and then I may come back with a follow-up. But just on the new product win, I wonder if you could give us a bit of color on this, possibly if you could confirm the end type product? Is this a smartphone? Or what type of product do you expect it to go into? And could you possibly help us with the ASP that you think you might be able to generate, just so you can try and put a bit more color to the potential revenue scope in the second half?
Carlo Bozotti - STMicroelectronics NV: No, we cannot give more color. I think we have been already quite explicit on the fact that it is important. That, of course, the package material, the implications, the fact that we need to move on for extended time and the positive impact on other businesses, but we cannot say more.
David T. Mulholland - UBS Ltd.: Okay. And then just one quick one, I wonder if you could comment on what the book-to-bill was in Q4.
Tait Sorensen - STMicroelectronics NV: I'm sorry. What was that, David?
David T. Mulholland - UBS Ltd.: The book-to-bill level that you saw in Q4?
Tait Sorensen - STMicroelectronics NV: Book-to-bill.
Carlo Bozotti - STMicroelectronics NV: The book-to-bill is positive. I would say it's materially above 1. So there was a continuation, let's say, of the good booking trend that we had been entertaining with some further growth in bookings during the course of Q4. And as I said, with a good synchronization among the various product groups but also from a regional point of view. If I take our sales organization that is organized by customer or region, we have three regions: EMEA, America, and Asia. And if I look at their performance, I think the grow was material, about 11 percentage. And also the booking trend was pretty good for all. So and is valid for the products, is for regions, and also is for big customers but also for distribution. For instance, our point of sales in distribution was pretty good in Q4. Inventories are certainly under control. And in fact during the course of 2016 we manage to have an important destocking in our distribution channel. So of course we are encouraged. We need to be careful. We need to remain very disciplined. We are not at the level where we want to be. But of course we want to keep going with this level of growth.
David T. Mulholland - UBS Ltd.: Thank you very much.
Tait Sorensen - STMicroelectronics NV: We'll take the next question.
Operator: The next question is from Sandeep Deshpande from JPMorgan. Please go ahead.
Sandeep Sudhir Deshpande - JPMorgan Securities Plc: Yeah. Hi. Can you comment on your – you've talked in the past about a silicon carbide initiatives. And can you comment on when that initiative is going to start ramping up at your customer? And in terms of margin how you see that? Is that positive or dilutive to margin at this point as such? Thank you.
Carlo Bozotti - STMicroelectronics NV: Yeah. Yeah. I think it is a major effort. And I think, as you know, Sandeep, is done organically. And we expect the ramp in the second part of this year. And this is an important program for us. So we are working on – of course on the R&D, on the industrial aspects, capital investment of course. And I believe there is a new wave of products. And we expect that of course with the opportunity that we see in terms of car electrification, this is the start of a new important business. I think the margins opportunity are there. Of course there is all the set-up work. This is the normal work when we set up a new line and a new business, a new technology, et cetera. But certainly we believe there are good margin prospects here.
Sandeep Sudhir Deshpande - JPMorgan Securities Plc: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Sandeep. We'll take the next question.
Operator: The next question is from Achal Sultania from Credit Suisse. Please go ahead.
Achal Sultania - Credit Suisse Securities (Europe) Ltd.: Hi. Thanks for taking my question. So first one, just to follow up on the new design win that you're talking about second half. I know you can't give a lot of details. But can you maybe just maybe comment on which part of the business you're talking about? Is it Automotive or is it Sensors, Microcontroller? Any color that you can give around that, that would be helpful. Thank you.
Carlo Bozotti - STMicroelectronics NV: No. We cannot. I think we already gave a lot of information concerning of course the capital investment required (58:32) the timing, the implication, et cetera. But we cannot give more information on the product and of course the application.
Achal Sultania - Credit Suisse Securities (Europe) Ltd.: Okay. Okay. I understand. Maybe another question on your Imaging sensor business. So if I look at your revenues in the Other segment, revenues were actually down sequentially from Q3 to Q4. And at the same time you're talking about Time-of-Flight sensors being used in about almost 70 smartphone models now, which I think is a significant increase. So I'm just trying to understand the revenue trajectory for this business. Like are a lot of those models not shipping as yet? Or like why is revenue – like when should we start to see a meaningful ramp in that part of the business?
Carlo Bozotti - STMicroelectronics NV: No, I think is more a seasonal pattern with Q4 and Q1 that are with us. And I believe is a normal seasonal pattern that we expected. And we are encouraged of course by the number of design wins here and the opportunities that we have in the future to move to – particularly for our focus to new areas like (1:00:04) that is opening up I believe other opportunities in terms of growth. So we are encouraged. I think it's positive. The evolution of the sales that we have seen before and that we will be seeing in Q1 is more related with the normal seasonality at certain of these customers.
Achal Sultania - Credit Suisse Securities (Europe) Ltd.: Okay. Thanks. Thanks a lot. That's helpful.
Tait Sorensen - STMicroelectronics NV: Thank you, Achal. We move to the next question.
Operator: The next question is from Mr. Kai Korschelt from Bank of America Merrill Lynch. Your line is open.
Kai Korschelt - Bank of America Merrill Lynch: Yeah, good morning, gents. I had a couple. And the first one was given your confidence on the second half from – I mean would it be feasible to assume the – you're going to hit your 10% operating margin target in the second half of this year? That's my first question. And the second question was on OpEx. Clearly, you have expectation for growth certainly for this year CapEx going up. So I'm just wondering what sort of OpEx run rate should we think about Q1? But maybe if you can give some color around the rest of the year as well, because I think also in Q4 the OpEx was only slightly down year on year despite the set-top box savings. Thank you.
Carlo Bozotti - STMicroelectronics NV: Yeah. Carlo will take that.
Carlo Ferro - STMicroelectronics NV: Okay. Thank you. Thank you, Carlo. On the second half of the year at the end we'll – I guess we'll meet for the Capital Market Day in May and this is the right time also to set expectation there then. Obviously here we start from (1:01:45-1:01:49). And then – and certainly we have the opportunity with the new ramp to boost revenues towards further growth with leverage on the overall expenses. The effect is more than I've anticipated. Therefore the average in 2017 is very much in line indeed with what we have already experienced in the actual of the fourth quarter operating margin. There is still room from the restructuring of the set-top box towards completion, which is – and about maybe south of 1 point of further improvement on the margin. And there is a couple of tenths of basis point in Q4 from the unused capacity charges that will not be there 1 year from now or not be there currently or so in this current quarter. If currency stays at this level, there are some tenths of additional basis points from currency as well. So I'll say that all the ingredients are there. Now it's up to us to cook and to deliver well on all these ingredients. Then on the operating expenses on the quarterly projection at the end, we may have some seasonal effect as usual. So this average, $550 million net operating expenses per quarter, may eventually see as usual lower seasonality, lower level seasonally in the third quarter of the year. Normally a fourth quarter is a bit higher and for the current quarter aided at this level of a few million dollar higher. Or whether really we want with a lot of focus and discipline to continue to keep the net operating expenses for the full year at that level of average of $550 million per quarter.
Kai Korschelt - Bank of America Merrill Lynch: Okay. Thank you.
Carlo Ferro - STMicroelectronics NV: You're welcome.
Tait Sorensen - STMicroelectronics NV: Thank you. We'll move to next question.
Operator: The next question is from Mr. Amit Harchandani from Citigroup. Please go ahead.
Amit B. Harchandani - Citigroup Global Markets Ltd.: Thank you. Good morning, everyone. It's Amit Harchandani from Citi. My first question is with regards to this dynamic we are seeing in the semiconductor industry between end unit growth and the rising semi content growth. Obviously, it's a lot of focus on it when it comes to automotive, in terms of content growth versus unit growth driving the overall semiconductor revenue for that end market. But could you maybe comment out in a broader sense across the various end markets that you are looking at right now, to what extent is your confidence underpinned by content growth versus the unit growth? If you could please share your thoughts on that. And I have a follow-up. Thank you.
Tait Sorensen - STMicroelectronics NV: The end markets, how are you feeling about this in general.
Carlo Bozotti - STMicroelectronics NV: Yeah. Well of course, we have a good visibility from many important key customers on one side. And then we have on the other side also important indicators from our distribution channel. I think the automotive industry seems to me that the trend is robust. We have, let's say, positive information coming from many, many automotive customers across the world for strong demand with the first half of 2017, that it is of course with the better visibility, that these are materially higher than the second part of 2016. So I think it is the positive input that we have from our automotive customers and discovering the new applications, the new digital applications, as we said, the microcontrollers, sales within the advanced APG products. But it's also covering the more traditional BCD products for Smart Power applications in the car. So I think we have a positive input in general from our automotive customers across the various regions. Another important indicator for us, and of course we want to keep going, is from our distributors. The POS was good. We have a very strong POS in Asia, a pretty good POS in Europe, a little bit less in United States. But overall, pretty good POS. And we managed 2016 also in a way to significantly increase our stock turn in distribution, which is of course a good start for 2017. We are tracking point of sales everywhere we operate with all our distributors. We are tracking the inventory. We are tracking the booking of our distributors. So all the signs that we have so far are positive in this respect. Of course we need to remain vigilant. We do not expect that this may go forever. However I believe that the opportunities in terms of new product introductions and the opportunity in terms of the new technologies that are giving us the comfort that this positive trend will continue during the course of 2017.
Amit B. Harchandani - Citigroup Global Markets Ltd.: Thank you, Carlo. And just maybe on talking – or maintaining that positive trend. You've obviously shown a lot of confidence today and you have made some commitments in terms of capital intensity and investment. But clearly, there is the element of competitive dynamics. And you've seen consolidation amongst your peers within the industry. To what extent do you feel in terms of R&D are you in a position to compete with and sustain, come off the design wins you have to-date going forward? Is this still a challenge for you, you think relative to your competitors, given how diversified you are? Or you think that's an advantage for you?
Carlo Bozotti - STMicroelectronics NV: Yeah. Well, I think that our R&D effort is very important. And certainly with the scale that it's giving us, the confidence that we can go on organically. We spend in R&D about $1.3 billion, which is a lot of money. It is – if we benchmark today – and of course I do not describe the benchmark with many of our competitors, I think that we have the scale in R&D to compete. I believe that our product portfolio is more focused. We want of course to work on automotive, we want to work on sensors, we want to work on microcontrollers, on power, but we're certainly more focused than in the past. And we believe that the $1.3 billion R&D effort is what we need to succeed with this product line. Having said that, ST is not yet at the level we should be in terms of financial result. So the priority for us is to deliver. Growth will contribute a lot, must contribute a lot. So the priority is organic growth and better financial performance. But we also have the means to participate in M&A initially if the opportunity would come.
Amit B. Harchandani - Citigroup Global Markets Ltd.: Thank you very much.
Tait Sorensen - STMicroelectronics NV: Thank you. Next question please.
Operator: The next question is from Mr. Jerome Ramel from Exane BNP Paribas. Please go ahead.
Jerome Ramel - Exane BNP Paribas: Yeah. Good morning. Carlo, one question. In your press release you said that you anticipate a significant revenue growth in 2017 and beyond. I think 2016 year is the first time I'm hearing STMicro giving a qualitative comment on the growth for the full year and even beyond than that. So my question is, and I know you can't quantify the side of this program, but would it be fair that it's once – or the opportunity you have every – maybe once in your life? I mean I'm just trying to get a sense of how can you be so confident to give a qualitative comment for 2017 and beyond? Thank you.
Carlo Bozotti - STMicroelectronics NV: Yeah. As I said, Jerome, I cannot comment more on this program. Of course I believe that there is a direct relation between the capital intensity that you have seen, that we are talking about proprietary technologies. There are many technologies that we can buy from outside. And when we can buy from outside, I mean we buy a lot of microcontroller wafers from outside. We are going to start buying BCD wafers from outside. We want to buy more power MOS from outside. But when we have some good advantage with our proprietary technologies, we want to leverage on this advantage and of course making these things inside. Now there is a clear relation between the intensity of the CapEx that we have described and the opportunity with – in programs. But, Jerome, I cannot describe more. I simply am not in a position to do that.
Jerome Ramel - Exane BNP Paribas: Okay. Understood. Thank you.
Carlo Bozotti - STMicroelectronics NV: Yes. Thank you.
Tait Sorensen - STMicroelectronics NV: Next question please.
Operator: The next question is from Janardan Menon from Liberum. Please go ahead.
Janardan Menon - Liberum Capital Ltd.: Hi. Good morning. I have two questions. One is to Carlo Ferro on gross margin. You've guided at 37% gross margin in the quarter. And you're saying that on the utilization charges have almost – completely coming to zero. So if we were to look beyond the first quarter through the second, third, fourth quarters of this year, what are the levers that you have which can take gross margin to a higher level from this 37%, now that utilization is no longer a factor? Is there – do you have much in the tank which can take it up further in terms of efficiencies, et cetera? And in particular when you expand capacity in the 300-millimeter fab, you talked about lower wafer cost. Will that be a driver of gross margin? If you're able to fill that up, will that be a driver of gross margin into the second half because of the lower wafer cost? And my second question is also unfortunately on your new ramp in the second half of this year. But let me try it in a slightly different way. Is this product something that is entirely STMicro IP, and therefore you are at liberty to sell it to any other customer in the years ahead, outside of your initial ramp customer? Or does it have – is it like an ASIC with some proprietary IP, which therefore gives you the visibility for many years, but sort of is for one customer alone?
Carlo Ferro - STMicroelectronics NV: First question is certainly easier than the second one. Because, as Carlo already said, I guess that we have tried to really comprise all other comments. And as an indication on this program, we can offer at this stage into the introduction. And so they are initial answer to the question. So I'm sorry not to be in a position to continue to comment and to say more on this new program. Then on the question on the gross margin evolution, clearly there is in the first quarter some effect there on entering the new year with the new really price for some of our applications. And this is something that at the end is somehow reabsorbed in the course of the year and by the normal and average usual safe solution in the industry on all of that. On the other side you are right there. Certainly, the most relevant opportunities we have for gross margin progression is based on the manufacturing efficiencies, on the wafer cost, on the assembling and testing cost in our back-ended plants. And in this respect both continuing the initiatives of cost improvement that already is significantly to gross margin improvement in the second half of 2016, and the new strategic initiatives to scale up production, particularly in 12-inch are very instrumental. At the end of the day, as you know, wafer cost in – is a function of the scale of the fab, particularly in these more advanced geometries. So at the end, short answer to your question, yes, Janardan, you are right, the highest opportunity – there are opportunities of improving gross margin, particularly in the second half of the year. And those are very much driven by manufacturing efficiency.
Janardan Menon - Liberum Capital Ltd.: Got it. Thank you very much.
Carlo Ferro - STMicroelectronics NV: Sure.
Tait Sorensen - STMicroelectronics NV: Thank you. Next question please.
Operator: The next question is from Mr. Francois Meunier from Morgan Stanley. Please go ahead.
Francois A. Meunier - Morgan Stanley & Co. International Plc: Yes. Thank you. Just going back to Jerome's question please. Yeah. Of course it's great to have this new project in line, but I just wanted to remind myself of all the discussions we had more than 10 years ago with (1:17:31) and camera modules. And it was good for a bit, and then it was not so good. So in terms of the new CapEx you're spending, is it more on the front-end? Is it more on the back-end? And why is this new program potentially different from what it could have been in the past? That's the first question. The second question is really regarding the distributors' inventory pull in, I would say. Carlo and Carlo, you've been in the semiconductor industry for multiple decades, how do you feel about this? Is it like a one quarter thing? Is it a two quarter thing? And when do you think we will have to pay for this? Because usually when you are doing – distributors are piling a bit of inventories, then there is always a bit of a period of correction after that. So is it something for 2017 or more like for 2018? What is your best guess?
Tait Sorensen - STMicroelectronics NV: Okay. Francois, you were breaking up a little bit there, but first question was on the CapEx and then the second was basically on the distribution and the destocking and when do you think that will end. Is that correct?
Carlo Bozotti - STMicroelectronics NV: Yeah. But on the CapEx you know what chart we give in the presentation – or we give the split between content and assembly and test. So you can certainly refer to that. We do not want to – we can – we give some details. These are the details that we can give of course. So you'll see that there is a little bit more in terms of content if we compare with 2016. And also the weight is a little bit more on content but not much more. Now if we look at the distribution business. The distribution business as I said, we are very encouraged by the point of sales evolution in this business. And by the fact that 2016 for us, it was a year where destocking was material. So our sales, our billing to the distributors was materially less than our point of sales. And of course this is calling for a healthier situation in terms of inventory starting 2017 compared to what we had 1 year ago. No? So we want to keep going. I mean it is important that we bring the point of sales and of course it is important to remain disciplined in inventory management.
Tait Sorensen - STMicroelectronics NV: Thank you, Francois. We'll move to the next question please.
Operator: The next question is from Mr. Gianmarco Bonacina from Equita. Please go ahead.
Gianmarco Bonacina - Equita SIM SpA: Yeah. Good morning. Just one question about cash flow generation. I heard before Carlo said you expected the free cash flow to fully cover the dividend. So it would be fair to assume that considering the dividend is a little bit more than $200 million, and you have to pay for this CapEx, so you're expecting an operating cash flow of about $1.3 billion, which is about $300 million higher than in 2016. So this $300 million is, let's say, more or less what we should expect as you're increasing EBIT? Or there are other items which will have a material impact on the cash flow in 2016? Thank you.
Carlo Bozotti - STMicroelectronics NV: Yes. You are expert of modeling and certainly very good in math. However at the end, there are normally two ingredients. One is EBIT and the EBITDA and the other one is the working capital management and the evolution of working capital. I cannot walk through the cash flow more than for the year. In either case be careful on making assumptions that there are ingredient of EBIT, ingredient of depreciation, ingredient to working capital management. And certainly when highlighting free cash flow to cover the dividend this year, we did not intend to give a guidance on the EBIT for the full year.
Gianmarco Bonacina - Equita SIM SpA: Okay. Thank you.
Carlo Bozotti - STMicroelectronics NV: Thank you for the question, Marco. Good try.
Tait Sorensen - STMicroelectronics NV: Thank you, Gianmarco. Next question, please.
Operator: The next question comes from Mr. Robert Sanders from Deutsche Bank. Please go ahead.
Robert Sanders - Deutsche Bank AG: Yeah. Good morning. Thanks for taking my question. The first question would be on the Crolles fab. I'm just trying to understand what your capacity is today and where that will be in the next sort of 18 months. And I have a follow-up. Thanks.
Carlo Bozotti - STMicroelectronics NV: Well, the current equipment capacity is about 3,000 wafer per week, is the current production mix. And it will increase about 5,000 per week, okay, with the handset mix.
Robert Sanders - Deutsche Bank AG: Okay. Great. So you said 6,000 today, and it will increase by 5,000, just to clarify. Sorry.
Carlo Bozotti - STMicroelectronics NV: No. No. No.
Carlo Ferro - STMicroelectronics NV: No. No. No.
Carlo Bozotti - STMicroelectronics NV: I would repeat. So it's 3,000...
Robert Sanders - Deutsche Bank AG: 3,000.
Carlo Bozotti - STMicroelectronics NV: ...wafer per week capacity, moving up about 5,000.
Carlo Ferro - STMicroelectronics NV: Per week.
Carlo Bozotti - STMicroelectronics NV: 12-inch equivalent, 12-inch basically, yeah, from 3,000 to 5,000 12-inch.
Robert Sanders - Deutsche Bank AG: Okay. Great. And that's over the next sort of 18 months?
Tait Sorensen - STMicroelectronics NV: 18 months.
Carlo Ferro - STMicroelectronics NV: Yeah. In the next 18 months.
Carlo Bozotti - STMicroelectronics NV: No. In the next – quicker than that.
Carlo Ferro - STMicroelectronics NV: Quicker than that.
Carlo Bozotti - STMicroelectronics NV: Much quicker.
Robert Sanders - Deutsche Bank AG: Much quicker? Okay. Great. And just the follow-up would just be on automotive radar. I was just wondering whether you could give us a sort of an idea of what your radar shipments grew in 2016? And what you think they might do in 2017? Thank you.
Carlo Bozotti - STMicroelectronics NV: Yeah. I don't have anything. I think that we have enjoyed good progress. Of course we have a pretty high market share on the 24 GHz. But also good progress on the 77 GHz as I described and addressed before. But I cannot quantify. I'm sure that our automotive general manager can give you the information on the evolution of the sales on this specific line of our automotive business.
Robert Sanders - Deutsche Bank AG: Okay. Thanks a lot.
Carlo Bozotti - STMicroelectronics NV: Have a good day.
Tait Sorensen - STMicroelectronics NV: Next question please.
Operator: The next question comes from Lee Simpson from Stifel. Please go ahead.
Lee Simpson - Stifel Nicolaus Europe Ltd.: Thanks for letting me on. Maybe just two quick ones from me. We noted the CES presentation that MEMS are in full allocation in the second half of 2016, and if we look at the AMG margin for 4Q at 9.4%, I guess the question we're asking here is can that stay in that high-single-digit, sort of low-double-digit range through 2017? And maybe just as a follow-up. The win that you've got for an ADAS SoC with a Japanese Tier 1 car maker, can you tell me if that's partnered with a 77 GHz radar solution? And whether that will ship in 2018 or beyond? Thank you.
Carlo Ferro - STMicroelectronics NV: I'll take MEMS.
Carlo Bozotti - STMicroelectronics NV: Yeah.
Carlo Ferro - STMicroelectronics NV: At the end any opportunity – certainly we will push through any opportunity to boost margin and we have to improve the margin from the 8.2% level and any opportunity will be captured. At the end what is great is that with this level of activity, MEMS has significantly improved its own profitability. Then when we will see on an overall consideration on the strategy on the financial model. At our Capital Market Day we will update what is needed to be updated.
Carlo Bozotti - STMicroelectronics NV: Yes. The question on automotive was on...
Tait Sorensen - STMicroelectronics NV: Was on the ADAS.
Carlo Bozotti - STMicroelectronics NV: 77 GHz.
Tait Sorensen - STMicroelectronics NV: Yeah so – yeah. Lee, can you specify your specific question on the ADAS?
Lee Simpson - Stifel Nicolaus Europe Ltd.: Yeah. Sorry. Do you want to me repeat it? I mean it was really just on that ADAS SoC, the win with the Tier 1 Japanese. Just wondered if it was associated with a long-range radar win, 77 GHz? And whether or not this platform design could ship in the 2018 timeframe?
Carlo Bozotti - STMicroelectronics NV: I am afraid I cannot comment on this. In fact we did not give the name of the customer, because we cannot give the name of the customer. So I'm sorry for that. But I cannot comment on this specific product. I know it is certainly a complex solution from an engineering, technical point of view, but I cannot comment on the customer and the timing.
Lee Simpson - Stifel Nicolaus Europe Ltd.: Got you. Maybe if I ask it a different way then. Would this be a direct win with a car maker, an OEM in Japan, for their own ADAS module?
Carlo Bozotti - STMicroelectronics NV: I think this I can respond. I think is a more traditional Tier 1 approach.
Lee Simpson - Stifel Nicolaus Europe Ltd.: Okay. Thanks so much. Thank you.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Lee. Next question, please.
Operator: The next question comes from Günther Hollfelder from Baader Bank. Please go ahead.
Günther Hollfelder - Baader Bank AG: Thank you. Just some housekeeping question I think for Carlo Ferro left. Concerning D&A, I think it was slightly below $700 million in 2016. Do you have any guidance here for 2017?
Tait Sorensen - STMicroelectronics NV: Günther, can you repeat that? It's very hard to hear you.
Günther Hollfelder - Baader Bank AG: So on D&A, I think it was slightly below $700 million in 2016. What should we model in here for 2017, for depreciation, amortization?
Carlo Ferro - STMicroelectronics NV: Slightly down, Günther. You may want to model about $660 million, including depreciation and amortization both.
Günther Hollfelder - Baader Bank AG: Okay. Great. And concerning R&D grants and restructuring, what are you expecting for 2017?
Carlo Bozotti - STMicroelectronics NV: We are at the end – we are anticipating since several of these conversation times, some go down on the overall grant for 2017 and so forth. For the full year you may want to consider something in the range of $50 million plus or minus $10 million.
Günther Hollfelder - Baader Bank AG: Okay. And any restructuring charges left for the set-top-box business for 2017?
Carlo Ferro - STMicroelectronics NV: In term of execution of the plan we are at about 65% of reduction. In term of cost we are not yet at this level, considering that those that have to come are eventually a little bit more expense than the average. So we may consider that out of the $170 million restructuring cost that we have anticipated with the set-top-box plan, half are already incurred, half have to come, and most of what it has to come would be in 2017 but not all.
Günther Hollfelder - Baader Bank AG: Okay. Good. And two last ones. Concerning the CapEx, do you think already in 2018, we will be back at the 10% level or below?
Tait Sorensen - STMicroelectronics NV: Can you repeat that, Günther? Again, very hard to hear you.
Carlo Bozotti - STMicroelectronics NV: Yeah. No, I got the question. I guess the question is on 2018, CapEx to sales ratio.
Günther Hollfelder - Baader Bank AG: Yeah.
Carlo Bozotti - STMicroelectronics NV: What we said is that starting at 2018 we will go back at a CapEx to sales ratio at or below 10% through the cycle. Then the overall distribution, which here would be at the level and which one at another level will very much depend on where we'll position on the cycle. So I believe it is a bit early now to comment on 2018. It will depend on the overall demand evolution and where we're positioned on the cycle.
Günther Hollfelder - Baader Bank AG: Okay. Great. And the last one is on the tax reform in Switzerland, any relevance for STMicroelectronics?
Carlo Bozotti - STMicroelectronics NV: Do you think it...
Tait Sorensen - STMicroelectronics NV: Well, can you repeat again? It's a terrible connection.
Günther Hollfelder - Baader Bank AG: Yeah. The tax referendum in Switzerland that's going on. The vote we have on 12 February, is it any relevance for STMicroelectronics in terms of the tax rate?
Carlo Ferro - STMicroelectronics NV: No, it's not. It's not material. At the end – but the benefit of all tax, the federal tax regulation in Switzerland that requires each control, each state to adopt a unique tax rate for all corporate tax payer. So this may challenge the differentiation between multinational headquarters and industrial players. The good is that the control where we're established has elected a tax rate which is very close to the one already applied for the multinational and applying it to others. So this kind of ingredient of our overall very effective tax rate for developed corporation will continue in the next year.
Günther Hollfelder - Baader Bank AG: Okay. Great. Many thanks.
Tait Sorensen - STMicroelectronics NV: Thank you, Günther.
Carlo Bozotti - STMicroelectronics NV: Thank you, Günther.
Tait Sorensen - STMicroelectronics NV: Next question please.
Operator: The last question comes from Mr. Stéphane Houri from Natixis. Please go ahead.
Stéphane Houri - Natixis SA: Hello. Very happy to have the last question. So I'd like to discuss – I would have loved to discuss the margins by division evolution, because I was a little bit surprised to see the ADG margin going down, while you're talking about double-digit growth in Automotive. And on the opposite way, MDG margin going up, while you were a bit more cautious on the – especially on the microcontroller side. Can you bring some colors to us? Thank you.
Carlo Bozotti - STMicroelectronics NV: Well, I think in Automotive there are two things. One, maybe in Q4, the evolution of the mix on one side, that did not help. But on the other side, also on the investment that we are making in the car digitalization. So all the new programs and this investment with the microcontrollers, the complex microcontrollers, and also on advanced safety features. So I think it was the combination. I mean, Carlo clearly spelled that our objective is to go certainly above 10%. But during the course of Q4, the need for – I'm talking about the ADG, then it was not really what we expected. And on the other end the actual work on the R&D for the digitalization and the electrification of the car is continuing.
Stéphane Houri - Natixis SA: Okay. Okay. Thank you very much.
Carlo Bozotti - STMicroelectronics NV: Yes.
Tait Sorensen - STMicroelectronics NV: Thank you, Stéphane. So I believe that was our last question. So we'd like to go ahead and close the conference call. Just as a reminder, STMicroelectronics will be at the Mobile World Congress in Barcelona. We will have our next investor event and media event on February 28. Please contact Investor Relations if you have any interest or need additional information. Thank you very much.
Carlo Bozotti - STMicroelectronics NV: Thank you, all. Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Good-bye.